Operator: Thank you for standing by. And welcome to the Harley-Davidson, Inc. 2025 Fourth Quarter Investor and Analyst Conference Call. Please be advised that today's conference is being recorded. I would now like to hand the conference over to Shawn Collins. Thank you. Please go ahead.
Shawn Collins: Thank you. Good morning. This is Shawn Collins, the director of investor relations at Harley-Davidson, Inc. You can access the slides supporting today's call on the Internet at the Harley-Davidson, Inc. Investor Relations website. As you might expect, our comments will include forward-looking statements that are subject to risks that could cause actual results to be materially different. Those risks include, among others, matters we have noted in today's earnings release and in our latest filings with the SEC. Joining me for this morning's call are Harley-Davidson, Inc. Chief Executive Officer, Arthur Starrs, and Chief Financial and Commercial Officer, Jonathan Root. With that, let me turn it over to Harley-Davidson, Inc. CEO, Arthur Starrs.
Arthur Starrs: Good morning, everyone, and thank you for joining us today for our Q4 and full year 2025 results. Before we get into it, I'd like to thank our Harley-Davidson, Inc. employees, the HD dealer network, and our riders that are listening in this morning. Thank you for all you do every day for the company, living and leading our brand and culture. This marks my first full quarter as CEO. I've spent this time focused on understanding the core of our business, our people, our dealers, our riders, and the realities of the marketplace. Through extensive time on the ground, I've confirmed many of the early observations I shared last quarter. I'm confident there's a clear path to put Harley-Davidson, Inc. back on the right trajectory. And I now have a sharper view of what it will take to reset the business and get to a more stable operating and financial future in '26 and beyond. This morning, we will provide more detail on the themes you heard from us on our last call, as we work towards our expected strategic plan announcement in May. Turning to our fourth quarter results, which we do not believe reflect the full potential of this company. 2025 was a challenging year. And while some of the pressures we are facing are macro-driven, others are firmly within our control. And we are moving with urgency, focus, and discipline to address them. Wholesale shipments and associated margins were negatively impacted by intentional actions to address elevated dealer inventory, particularly touring inventory in North America. Through interventions on both the supply and demand sides, during the quarter, we reduced wholesale shipments and implemented targeted promotions to accelerate the return to balanced retail inventory levels. These actions are beginning to deliver results. Rider response has been positive, with North American retail sales growth in the quarter accelerating into December, yielding early indications of improving dealer profitability. We plan to continue these interventions with discipline, as we work to optimize retail inventory, positioning the business and our dealer network for more sustainable performance going forward. That said, we're encouraged by the early green shoots we're seeing. Our immediate priorities are both straightforward and deliberate. First, we believe we are stabilizing the business by restoring dealer confidence and aligning wholesale activity with retail demand. Second, we are finalizing a strategy that we believe builds a durable platform that leans into our core and positions Harley-Davidson, Inc. to return to sustainable growth. Early in my tenure, I committed to three immediate priorities: improving dealer profitability, reigniting brand momentum, and reducing costs. These commitments have not changed. Today, I'll walk you through the immediate actions already underway to advance these priorities. These actions are in the following areas: restoring our relationship with dealers, improving inventory management, sharpening our customer focus with the right portfolio, leaning further into the strengths of our branded community, and enhancing financial flexibility. Let me start with our dealer network. Harley-Davidson, Inc.'s dealer network is best in class, distinguished by unmatched enthusiasm, reach, and strength. While the network remains a competitive advantage, dealer health today is uneven, with some dealers facing challenges. Dealer health is not optional. It is a critical foundation for our long-term growth and earnings power. We're resetting the relationship between the motor company and our dealers. That relationship must be built on mutual trust and respect, shared objectives, shared accountability, and shared success. Healthy inventory levels and a healthy dealer network are nonnegotiable. Over the last couple of months, I continued a series of roundtable discussions with our North American and European dealers. Most recently, I spent time at our European markets, including attending the Verona Bike Expo and a Hog Chapter morning meeting. The insights from these engagements were consistent with my US visits: extraordinary passion for the Harley-Davidson, Inc. brand and strong commitment to the business. Importantly, there's broad alignment around the changes required to drive sustainable growth going forward. These include healthier inventory levels, improved product mix, simpler and more effective rider engagement programs, and greater flexibility to reflect local market conditions. Drawing on my experience in franchise-based models, I know that sustained success depends on alignment, transparency, and disciplined execution. We're committed to reestablishing that foundation, beginning with immediate interventions that we expect to improve our dealers' retail performance and financial trajectory while accelerating trust across the network. As we mentioned in Q3, we've begun to act with two quick and meaningful changes to support our dealers. First, we reviewed our fuel facility model guidelines, adjusting the scope to better balance global brand identity with celebrating local communities. Second, we made a commitment to reevaluate e-commerce. The company's e-commerce strategy has not historically delivered the intended results. It has created customer confusion and driven excessive discounting, placing unnecessary pressure on dealer economics. We've taken corrective action in North America by shifting to a model that is intended to drive incremental dealership traffic to support motorcycle sales. In the near term, our focus is clear: support our dealers, drive traffic to dealerships, and execute against our core business of selling motorcycles. While retail sales are still meaningfully below what we would consider a healthy run rate, the early progress is encouraging. We believe these actions are improving predictability and positioning the business for more consistent execution. Turning to inventory, on our Q3 earnings call, I was clear that inventory discipline and adapting to the realities of the current retail environment would be central to our focus. As we've dug deeper than initially anticipated, it's become evident that the challenges are more significant, and we're addressing them head-on. We are aggressively addressing inventory through targeted promotional support for touring models and disciplined quarterly planning by model, region, and dealership. We believe this approach allows us to align inventory with sales trajectories, account for regional needs, and proactively manage production and shipments, accounting for seasonality. The touring overhang remains pronounced and is being actively worked down through disciplined interventions designed to move the product efficiently without undermining long-term brand value. In North America, dealer inventory declined 16% relative to year-end 2024 levels. Globally, dealer inventory was down 17% over the same period, meaningfully exceeding our 10% global reduction target. This represents solid progress against our priorities, and I'm pleased with the team's execution and delivery. Overall, retail performance through the quarter was broadly in line with internal expectations. North American retail was up year over year, while international retail, particularly in EMEA, was softer than we expected. We expect the actions we are taking to assist dealers in moving through inventory to restore dealer health to have a near-term impact on our financial results. With that in mind, we view 2026 as a transition year as we reset the business and finalize our new strategy. I see a path to return to long-term earnings and free cash flow power of the business to the levels we know are possible. I can tell you we expect margins to be under pressure in the near term as production runs below wholesale, creating operating deleverage. These are deliberate actions that we believe are necessary to support both dealer and company profitability and ultimately rebuild the long-term earnings power of the business. As I've discussed, we are in the early stages of a reset. We've made decisive changes, and the work underway across the organization is designed to rebuild momentum in the right way and for the long term. Turning to the brand and our customer, our leadership team is reorienting the organization around a clear priority: our dealers are customer number one. When we enable our dealers to sell, customize, and service the motorcycles our riders want, everyone wins. I continue to spend significant time with dealers and riders, including attending a Hog Chapter gathering in Milan as part of my visit to Europe. The pride those members took in showing me their Harley-Davidson, Inc. motorcycles was contagious. It's clear our riders view their Harley as their individual motorcycle. Individual expression matters, and customization is central to that experience. We have been too lax on our parts and accessories business in recent years, and that will change. This is what our riders want. It's a critical business for our dealers. It creates more opportunities for our world-class service technicians. And it is core to what Harley-Davidson, Inc. has always stood for. Going forward, our focus in this area will have two parts: designing and building motorcycles that invite Harley-Davidson, Inc. customization, and ensuring our supply chain can support that demand quickly and reliably. Brand storytelling has always been essential to what makes Harley-Davidson, Inc. Harley-Davidson, Inc. At its core, our brand celebrates riders and the communities they create. In recent years, our work has been too serious and at times too dark. That's not who our riders are. When they ride and gather, our riders are joyful, passionate, and community creators. I saw this firsthand at an 80th Anniversary Celebration for a dealership outside Paris, France just a few weeks ago. Riders shared stories of journeys they'd taken together, including one who proudly told me he had ridden all the way to our factory in York, Pennsylvania, and was wearing his York PA Harley-Davidson, Inc. gear while standing in Paris. You'll soon see more optimistic, joyful brand work from us. Advertising that celebrates our community in a uniquely Harley-Davidson, Inc. way. Turning to product, to better align aspiration with accessibility, we are actioning more breadth and flexibility in our portfolio. That means being honest about where pricing and portfolio choices have limited our reach and making deliberate choices to widen the funnel in our core. My own interactions with dealers and riders over the past four months, in addition to customer research and recent retail trends, validate what our riders want: the look, sound, and feel of a Harley-Davidson, Inc. motorcycle coupled with the ability to customize their Harley to make it their own. The used market continues to reinforce the power of the brand and a strong desire for customers to purchase our products, but at a price that is more aligned with today's economic realities. In fact, as we look at used auction activity, we feel enthused about recent demand trends and the positive impact they're having on used values, especially in Harley-Davidson, Inc. core Softail models. What's clear is that the portfolio actions taken over recent years have put the brand out of reach for some existing and potential riders. To win, it's clear we need to sharpen our product focus, not only creating the highest quality motorcycles that our riders want to ride, but doing so with a price in mind. We need to ensure that these are products that our dealers are excited about and able to sell at a profit level that works for them and for us. Onto the team and our org structure. Execution requires the right team and structure. We've made targeted leadership team and organizational changes to strengthen our capabilities across product, supply chain, marketing, technology, and brand. We've added back new perspectives and welcomed back proven leaders with deep knowledge of Harley-Davidson, Inc.'s rider culture and community. Importantly, Harley-Davidson, Inc. should be a great place to work as well as a great business. Strong corporate culture isn't just good for employee morale. It's good for business. Rebuilding our culture and identity as a Milwaukee icon truly matters. My direct reports are all working from Milwaukee at our Juneau Avenue headquarters, and we will be formally reopening the office later this quarter. By going back to the bricks at our Juneau Avenue headquarters, we are not only reigniting the cultural beat that has defined this company for over a hundred and twenty years, but with these changes, are improving decision-making speed, cross-functional collaboration, and, critically, accountability. I'm particularly pleased with how much more agile, nimble, and speedy our leadership team is becoming working shoulder to shoulder in Milwaukee. It's an inspiring place to work. I'm excited to get our teams back to Juneau in the coming months. Lastly, I'll touch on the financial actions we are taking to reposition the business for success. We are conducting a rigorous end-to-end review of our cost base and operating expenses supported by third-party specialists. Our current corporate overhead, manufacturing capacity, and overall operating expenses are built for materially higher volumes than today's demand. And we will be addressing this mismatch head-on. We'll share more details in May. However, on top of previously announced targets, we anticipate at least $150 million of annual run rate savings that will impact 2027 and beyond. In Q4 2025, we renegotiated and funded the term loan with LiveWire, reducing the principal to $75 million. LiveWire is now working diligently to attract its own sources of capital to continue to finance its operations and future plans. We remain excited about LiveWire's newest motorcycle, the Honcho, soon to be in market later this year. Well aligned with the evolution of the EV motorcycle category toward smaller mini motors. Turning to HDFS, the recent transaction has delivered meaningful capital benefits. We now expect to be able to run the HDFS business with less capital than has been tied to this business historically. With these changes, we plan to take HDFS class-leading returns and deliver an even higher ROE than we did historically. And as HDFS' asset base rebuilds over the coming years, we expect to get back to earnings levels that run below historical levels. Going forward, HDFS will operate with significantly lower capital commitments and with funding support from two trusted partners. HDFS continues to be a strategic asset for Harley-Davidson, Inc. and a critical enabler for our dealer network. And we will talk more about HDFS strategically during our Q1 earnings call in May. While a key priority remains returning excess capital to shareholders, we are currently evaluating the timing of our share buyback initiatives. In the near term, we expect to be measured in our approach to share repurchases while we finalize our strategic plan that we expect to announce in May. Before I hand it over to Jonathan, I want to reiterate that Harley-Davidson, Inc. has an iconic brand, a loyal community, a dealer network unlike any other. We're taking the hard necessary steps to stabilize the business and rebuild trust, which we believe will restore our long-term earnings power. The work is underway, execution is improving, and we are committed to delivering results. Thank you. And now I'll hand it over to Jonathan.
Jonathan Root: Thank you, Arthur, and good morning to all. I plan to start on page four and five of the presentation where I will briefly summarize the financial results for the fourth quarter and full year of 2025. Subsequently, I will go into further detail on each business segment. As a reminder, we closed what we call the HDFS transaction in Q4 at the October. The HDFS transaction is a strategic partnership with KKR and PIMCO, that we expect will transform Harley-Davidson Financial Services into a capital-light derisked business model. It also changes the financial profile of HDFS starting in '25 and affords a high degree of optionality in how we fund and run that business. As already cited earlier, the financial results in 2025 have come under pressure in the current challenging operating environment. We have moved immediately to make inventory management and discipline a central focus to resetting the business. This is evident in Q4 results and will continue to be a central priority as we move forward. Let me start with consolidated financial results for 2025. Consolidated revenue in the fourth quarter was down 28% driven by both HDMC revenue being down 10% and by HDFS revenue being down 59%. Consolidated operating income in the fourth quarter came in at a loss of $361 million compared to an operating loss of $193 million in 2024. This was driven by an operating loss of $260 million at HDMC and an operating loss of $82 million at HDFS. The loss at HDFS was driven by costs associated with liability management activities related to the HDFS transaction where we retired a significant portion of HDFS debt in Q4 2025. The operating loss at LiveWire was $18 million, which was in line with our expectations and $8 million favorable to a year ago. In Q4, earnings per share was a loss of $2.44, which compares to a loss of $0.93 in 2024. Turning to full year 2025, consolidated financial results on page five. Consolidated revenue of $4.5 billion was 14% lower compared to last year, while consolidated operating income of $387 million compares to $417 million in full year 2024. For the full year 2025, earnings per share were $2.78, and compares to $3.44 in full year 2024. Now turning to page six and HDMC retail performance. As Arthur already mentioned, in Q4, North American retail sales of new motorcycles were up 5% with 15,847 motorcycles versus prior year. In Q4, international retail sales of new motorcycles were down 10%, with 9,440 motorcycles versus prior year, resulting in Q4 global retail sales of new motorcycles being down 1% at 25,287 motorcycles versus the prior year. The choppiness and volatility in global retail results is a continuation of what we have observed since mid-2024 with a difficult global backdrop in big-ticket discretionary sectors. Pricing continues to be on the top of customers' minds given the current global setup that includes inflationary pressures and interest rates that continue to run above recent historical lows. In North America, Q4 retail sales were up 5%, where US retail sales were up 6% and Canada retail sales down 7%. For the full year 2025, North America retail sales were down 13%. In the quarter, we experienced strength in our Grand American touring product, up 6%, driven by the promotional support in the marketplace. We also saw strength in lower-priced sport motorcycle models, up 33%, as the updated pricing and marketing resonated with our dealers and customers. Within Grand American Touring, Trike was down 24% on very tight inventory availability in advance of the January 2026 new Trike launch. In EMEA, Q4 retail sales declined by 24% driven by weakness across the region and different bike families. EMEA continued to be adversely impacted by overall macroeconomic conditions. For the full year 2025, EMEA retail sales were down 11%. In the quarter, we experienced the most weakness in the touring and Softail categories. In Asia Pacific, Q4 retail sales declined by 1%, which was a significant improvement from the 2025 and mostly attributed to a continued challenging environment in China, which was down meaningfully. The Q4 retail sales included positive results in Japan and the Asia Emerging Markets. For the full year 2025, Asia Pacific retail sales were down 15%, and the softness was most acute in China for the full year and Japan for 2025. In the quarter, we saw retail strength across all families except for sport and lightweight motorcycles, which still had a combined inventory down nearly 30%. In Latin America, Q4 retail sales increased by 10% where both Brazil, our largest Latin American market, and Mexico were up, while other Latin American countries were down modestly year over year. For the full year 2025, Latin American retail sales were up 2% where both Brazil and Mexico were up. For the full year 2025, global retail sales of new motorcycles were down 12% versus the prior year where both North America and international markets turned in a similar performance. As already mentioned earlier, dealer inventory at the end of Q4 was down 17% versus the end of Q4 in the prior year. This compares to our stated goal at the beginning of 2025 of reducing dealer inventory by 10%. North America dealer inventory ended down 16% and international dealer inventory ended down 20%, with the regions coming in between down 19% to down 23%. This allows Harley-Davidson, Inc. dealers to start the 2026 riding season much cleaner and with an appropriate setup as we look at the coming quarters. As discussed, we specifically focused on assisting dealers to reduce touring motorcycle inventory in North America as the market displayed its price and value sensitivity. Let me briefly touch on incentive and promotional spend within the current environment. In Q4, we selectively provided incentive and promotional support to Harley-Davidson, Inc. dealers in the form of interest rate assistance, low APR, customer cash, and dealer cash credit. As I covered last quarter and Arthur mentioned earlier, dealers have more touring inventory in the channel than is desired. And while we have made progress in Q4, we still have more work to do. Based upon discussions with our dealers in December 2025, we determined to continue with consumer promotion into 2026 in order to work through these units and, therefore, we have taken accrual in our Q4 2025 financials. Again, we expect this will help us get out of the gate stronger in 2026 to help drive retail performance. Now turning to page seven and HDMC revenue performance. In Q4, HDMC revenue decreased by 10% coming in at $379 million, where the biggest drivers of the decline included net pricing and incentive spend and decreased wholesale volume. For the full year 2025, HDMC revenue decreased by 13% coming in at $3.6 billion, where the biggest driver of the decline was decreased wholesale volumes where we shipped around 125,000 motorcycles, down 16% from the prior year while net pricing was largely flat on the year. Now turning to page eight and HDMC margin performance. In Q4, HDMC gross profit came in at a loss of $30 million, which compares to a loss of $3 million in the prior year. Q4 is typically our lowest gross margin quarter due to seasonality and model year changeover. The year-over-year decrease was driven by the negative impacts from increased tariff costs and net pricing and incentive spend, while partially offset by the positive impacts from manufacturing costs, including leverage, and favorable foreign exchange. In Q4, operating expenses totaled $230 million, which was $19 million higher compared to the prior year or 9%, due to greater marketing spend with the introduction of the North America-focused marketing development fund for our dealers. In Q4, HDMC had an operating loss of $260 million, which compares to an operating loss of $214 million in the prior year period. Turning our attention to full year 2025 margins. For the full year 2025, HDMC gross margin was 24.2%, which compares to 28% in the prior year. A decrease of 380 basis points was driven by the negative impacts from incremental tariffs in calendar year 2025, which we will cover on the next slide, negative operating leverage, and lower volumes. These impacts were partially offset by the positive performance from lower supply management and logistics costs, favorable mix, foreign exchange, and net pricing was largely flat for the full year. Lastly, for the full year of 2025, operating expenses came in at $895 million, which were higher by $18 million due primarily to the marketing development fund mentioned previously. For the full year 2025, HDMC operating income was a loss of $29 million, which compares to operating income of $278 million for the full year 2024. Turning to Slide 12. In 2025, the global tariff environment was more volatile and uncertain than we had expected at the beginning of the year. In 2025, the cost of new or increased tariffs was $22 million, and for the full year of 2025, the cost of new or increased tariffs was $67 million. This included direct tariff exposure, Harley-Davidson, Inc. importing and exporting product, as well as indirect tariff exposure from suppliers. This excluded pricing mitigation actions as well as operational costs relating to new or increased tariffs. Harley-Davidson, Inc. is a business very centered in and around the United States. Three of our four manufacturing centers are US-based, and 100% of our US core products is manufactured in the US. We also have a US-centric approach to sourcing, with approximately 75% of component purchasing coming from the US. We have a number of actions underway to mitigate the impact, and we expect this situation will remain fluid given the uncertainty that still exists. As mentioned earlier, we closed the HDFS transaction in Q4 at the October. Just to restate or recap what we talked about in greater detail on the last earnings call, the HDFS transaction includes three key components: back book sale, sale of approximately $6 billion of existing HDFS loan receivables, forward flow agreements, the sale of future HDFS loan originations, and the sale of equity interest, sale of a 9.8% common equity interest in HDFS to KKR and PIMCO. In the fourth quarter, we retired a significant portion of HDFS debt, which resulted in some discrete costs. These discrete liability management costs were $73 million in Q4. While the full year results were record high earnings for HDFS, '5 resulted in an operating loss of $82 million for HDFS. Let me provide some greater detail. At Harley-Davidson Financial Services, Q4 revenue came in at $106 million versus $257 million in the prior year. The Q4 decrease was driven by lower retail and wholesale finance receivables at lower yields. The decline in retail receivables was due to the sale of the retail back book in the HDFS transaction. Interest income decreased in Q4 from $224 million in '24 to $46 million in '5, while other income increased to $60 million due to new servicing fee streams. On the expense side, Q4 interest expense increased $130 million from $95 million a year ago. This line item included the $73 million of discrete liability management costs to retire HDFS indebtedness. The provision for credit losses decreased to $7 million in Q4 from $72 million a year ago on lower retail finance receivables. Last, operating expenses came in at $51 million in Q4 versus $43 million a year ago, primarily driven by increased hedging costs and employee costs. In Q4, HDFS operating income came in at a loss of $82 million. For the full year 2025, HDFS revenue was $809 million, down 16% from the prior year primarily due to lower retail receivables and lower wholesale receivables due to the transaction. For the full year 2025, interest income decreased from $891 million to $668 million. For the full year 2025, other income increased $148 million to $201 million in the prior year, primarily driven by a discrete gain on the sale of residual interest in securitizations, a component of the HDFS transaction, and by servicing fee income. For the full year 2025, HDFS operating income was $490 million, record high earnings for HDFS, up from $248 million in full year 2024. The increase was primarily driven by favorable provision for credit loss expense due to the HDFS transaction impact and higher other income, partially offset by lower net interest income and higher operating expenses. With the sale of $6 billion of retail finance receivables, the provision for credit loss line item became favorable rather than a cost, reflecting the release of CECL allowance associated with the sold loans. Turning to HDFS loan origination activities. Total retail loan originations in Q4 were up 2%, coming in at $487 million in Q4. Commercial receivables came in at $949 million at the end of the year, relative to the prior year level of $1 billion, down 6%, reflecting overall lower dealer inventory levels in the channel. Total gross financing receivables were $2 billion at the end of 2025, where retail receivables were $1 billion and commercial receivables were $949 million. This is a significant change relative to a year ago, resulting from the sale of around $6 billion of HDFS retail loan receivables as part of the HDFS transaction. For comparison purposes, gross financing receivables were $7.7 billion at the end of 2024, which includes both retail loans and commercial financing. Total HDFS loan assets fell 74% year over year as we shift to a capital-light business model that carried less risk. Now turning to slide 13. For the LiveWire segment, on a full-year basis, electric motorcycle units increased by 7% and Stasic units increased by 15%, while consolidated revenue decreased by 3% due to increased incentives associated with the Twist and Go promotion. LiveWire maintained its position as number one retailer in the US 50-plus horsepower on-road EV segment and had its second consecutive record-setting quarter for retail sales. Consolidated operating loss decreased by 32%, driving a 45% decrease in net cash used during the year, excluding the $75 million of proceeds from the term loan with HD. During 2025, LiveWire consolidated revenue increased by 9%, driven by a 61% increase in electric motorcycle units and a 7% increase in Stasic units. Consolidated operating loss decreased by 30%. For 2026, LiveWire's focus is on the launch of its S4 Honcho products, with production targeted to begin in 2026, continued network expansion, cost savings and improvement, and product innovation and development focused on profitable products. Now turning to slide 14. Wrapping up with consolidated Harley-Davidson, Inc. financial results. We delivered $569 million of operating cash flow in full year 2025, which was down from $1.064 billion in full year 2024. The decrease in operating cash flow was driven by lower motorcycle shipment volumes and unfavorable manufacturing and tariff costs, as well as originations of retail finance receivables classified as held for sale, which are classified as operating cash outflows. There were no originations of retail finance receivables held for sale in 2024, so the net outflows related to this activity contributed to the decrease in operating cash flows. Total cash and cash equivalents ended at $3.1 billion, which was $1.5 billion higher than a year ago. The HDFS transaction facilitated a dividend of $1 billion from HDFS to HDI in Q4, which together with a further dividend expected to be paid in Q1 results in a total dividend that will be consistent with our original expectation. In addition, HDFS debt will be further reduced by the maturity of a €700 million medium-term note in Q2. As part of our capital allocation strategy, in Q4, we entered into an accelerated share repurchase agreement with Goldman Sachs to repurchase $200 million of shares of the company's common stock. We entered into the $200 million ASR, $160 million was delivered before 12/31, with the remainder early 2026. For the full year 2025, we repurchased a total value of $347 million or 13.1 million shares in total, which represents around 11% of 12/31/2024 shares outstanding. This amount includes the aforementioned ASR agreement. Now turning to slide 16. While 2025 was a more volatile and challenging year than we had anticipated, we look to 2026 where we start the year at more appropriate dealer inventory levels and look to reset the business toward a more stable operating and financial future. As we look to our financial outlook for 2026, we remain pleased with our leading market share position in the US, new model year '26 motorcycle launch, including the all-new redesigned trike models, as well as the long-haul touring and the introduction of a more affordable lineup of motorcycles with a focus on critical price point motorcycles to help stoke demand. At HDMC, we expect retail units of 130,000 to 135,000. We expect wholesale units of 130,000 to 135,000. As you can see, we believe that global dealer inventory levels are at appropriate total levels with some need to balance by model and family. Therefore, we expect retail and wholesale to have a largely one-to-one relationship in 2026. At the same time, we expect production units at HDFC to be lower than wholesale units shipped in 2026 as we work to prudently manage overall company inventory levels. For 2026, we expect this will have a deleverage impact, which will pressure operating leverage when it comes to operating margins. In addition, we expect to face a greater overall cost for incremental tariffs in 2026, which are likely to be applied more uniformly over the entire calendar year, whereas 2025 experienced partial application during the year and was backloaded. As a reminder, in full year 2025, we incurred a cost of $67 million in new or increased tariffs. And in 2026, we forecast the cost of between $75 million to $105 million of new or increased tariffs based on current tariff levels and versus the 2024 baseline. At HDMC, we expect operating income of positive $10 million to a loss of $40 million. At HDFS, we expect operating income of $45 million to $60 million. The forecast is based on the new business model at HDFS given the HDFS transaction where Harley-Davidson Financial Services now employs a capital-light derisked business model and has significantly changed financial earnings profile relative to before the transaction was done, particularly in the near term. Additionally, both retail and wholesale asset levels are lower than we previously believed, and non-servicing fee income is also being viewed more cautiously. At LiveWire, LiveWire is forecasting an operating loss in the range of $70 million to $80 million. These guidance elements exclude impacts from our updated strategic plan, which we are looking forward to announcing in May along with Q1 earnings. And with that, we'll open it up to Q&A.
Operator: Star one on your telephone keypad. Withdraw your question, press star one again. We also ask you to limit yourself to one question and return to the queue for additional questions. Thank you. Your first question comes from Craig Kennison with Baird.
Craig Kennison: Hey, good morning. Thank you for taking my question on HDFS. Just, you know, based on the message that came out of the HDFS transaction last year, I think the expectation was that HDFS operating income could be maybe half of what it used to be, so at least $100 million. Granted, that was just an expectation that came out of the presentation materials, but you're looking to be about half of that. Maybe help us unpack what's going on with the math behind HDFS and what the long-term profitability of that business should look like?
Jonathan Root: Alright. Craig. How are you doing? Thank you for your question today. So obviously, from an HDFS standpoint, as we take a look at what we're guiding to, as you say, for 2026, we have a guide for the HDFS business to come in between $45 and $60 million. As we flow forward and look to kind of a standard run rate for this business, which will probably take us, you know, two and a half, three years to get to that point, we would view kind of at the midpoint that HDFS would be, on a standardized basis, making approximately triple the midpoint. So that's where we think the business goes long term. As we think about some of the short-term related impacts and where is there a difference versus what we envision? We obviously have a cautious outlook relative to what we're looking at from the overall volume standpoint. And so we're being careful and considered there. And then in addition, with what you saw with our Q4 year-end results, with dealer inventory down significantly and more than what we envisioned, obviously, we have lower wholesale assets too, so that pressures earnings power of that. Hopefully, that explains what you're looking for and provides the perspective.
Craig Kennison: Do you need more retail and more wholesale stock units in order to triple that income, or are there other adjustments?
Jonathan Root: Yeah. No. Just time for those time for the retail assets to kind of flow their way in. So, obviously, we need multiple years of building, kind of rebuilding the balance sheet in order to drive what we need for an income statement standpoint in that business. And then as we talk wholesale, wholesale levels are lower than what we envisioned. Arthur's focus on how we really maintain tight and disciplined inventory with our dealers.
Craig Kennison: That makes sense. Thank you.
Operator: Your next question comes from Noah Zatzkin with KeyBanc Capital Markets.
Noah Zatzkin: Hi. Thanks for taking my question. I guess just on kind of the wholesale guidance, you know, you kind of talked about a one-for-one dynamic. Obviously, the implication is, you know, shipment growth in '26. So I guess in terms of cadence, how should we think about that building through the year? And then on inventory levels, like, I guess, is the implication that you're kind of more comfortable now with where you're sitting at the end of the year? Thanks.
Jonathan Root: Sure. So why don't I start a little bit with cadence, and then maybe we'll have Arthur talk through total inventory levels and provide a little bit of commentary around that. So from a cadence standpoint, as we think about wholesale shipments and the way that will look on a year-over-year basis, again, we're being what I would define as, you know, careful and considered in what we're sending into the dealer network. So Q1 of 2026 will probably be down from a wholesale shipment perspective, down a little bit versus where we were in Q1 of the prior year. We think that we'll end up kind of popping up a little bit higher in early Q2, so making sure that we have dealers who are well-positioned for when the season is starting. So we're not asking them to carry that inventory in the January recovery time frame. But we do want them to be appropriately positioned from an inventory standpoint. So Q2 wholesale shipments will be a little bit higher than the prior year. Then as we take a look at how we walk into Q3, Q3, again, probably just a little bit lower as we work through some timing elements within the portfolio and some things that occur from that standpoint. And then as we end up, obviously, we were pretty measured in what we shipped into the ending Q4 dealer network in '25. So there's room for a pretty material change in what we're sending in in 2026. So, certainly, if you kind of take all of those different factors, a little bit more back-loaded from a shipment cadence in the second half of the year versus the first half. And even with that, sort of a little bit more towards Q4. Yeah. And then, Arthur, you can talk.
Arthur Starrs: Yeah. No. Just broadly on inventory, you know, the focus is on supporting our dealers and selling through the touring inventory. We remain pleased with the progress there. There's still support there, and we'll continue to be. And we're also pleased with the '26 model year launch. A lot of enthusiasm in the market. So, you know, we'll be monitoring that closely. But you know? And in my script and in these comments, just want to be abundantly clear we're hyperfocused on healthy inventory levels, and the focus is on the model year '25 touring right now.
Operator: Your next question comes from Robin Farley with UBS.
Robin Farley: Great. Thank you. I wanted to ask a little bit about the expectation for retail to be flat globally. Just wondering what that counts on for U.S. retail. And then also just kind of, you know, what's behind the expectation of flat, you know, just how you're thinking that how you're coming to that expectation. Then if I could just also, by the way, just squeeze in a quick clarifying point on LiveWire. I think previously, the expectation had been that you were limiting the kind of losses you would underwrite, and is it fair to say based on the guidance you're giving for '26 that you are willing to continue to invest or see LiveWire maybe lose more than, you kind of the commentary last year? Thank you.
Arthur Starrs: Hey, Robin. It's Arthur. Thank you for the question. I'll take the LiveWire one, and then Jonathan will walk through the retail forecast. Yeah. On LiveWire, we, you know, we extended the $75 million loan, which is originally $100 million. So we worked through that with them, and they're actioning, you know, other sources of capital at this point in time. Funding the operating losses or so on, we've extended our commitment on the loan, and that's it. So, Jonathan, you can walk through the retail piece.
Jonathan Root: Okay. Sounds good. Thanks, Arthur. Hi, Robin. So on the, I think you asked about US specifically from a retail standpoint. So as we flow through and take a look at it, we're obviously really, really excited about what's happening with the introduction of the new limited. So as we take a look at where we are from an overall retail sales perspective, we do envision that we have a little bit of upside in terms of '26 versus '25 from a touring standpoint for a couple of reasons. You heard Arthur talk about our focus on '25 model year sell-down and how that was focused around touring. So at retail, that actually really helps us in terms of moving through the '25 touring bikes and what we have. Stacked on top of that is the new limited, and the new limited has been a hit, and we're really excited about those and the initial reception to that. So a lot of enthusiasm from our dealer network around sold orders and what they're seeing on that front. As we move along the retail side, we also have the introduction of the new trikes. Again, as we look at dealer enthusiasm, customer feedback around what those look like, we're really proud of what our engineering team has done from a suspension perspective. So if you think through handling and the way that that motorcycle performs, some real positives, I think, in terms of how customers will feel and enjoy that motorcycle. So a little bit of enthusiasm in terms of where we sit from a trike perspective. And then just a couple more pieces that I'll touch on quickly. As we take a look, we are being careful and considered in what CVO retail and CVO wholesale shipment looks like. We do want to make sure that those bikes really are put up on a pedestal and we're being thoughtful about what we're shipping in, which obviously will challenge retail a little bit within that particular family. And then overall, we have the full year of Softails. So really, really excited that we have dealers who are well-positioned. We kind of moved some price points in a way that are pretty customer-friendly. And so, overall, feeling good about where that is. So those are many of the puts and takes for 2020.
Operator: Great. Your next question comes from Tristan Thomas with BMO Capital Markets.
Tristan Thomas: Hey, good morning. Can you give the $150 million of annual run rate savings in 2027 and beyond that you guys called out? Is that spread among all three segments? And then also, is there any way to anything you can provide us kind of with cadence of that next year specifically would be very helpful as we build out our models? Thanks.
Arthur Starrs: Yeah. Hey, Tristan. I'll take that. The $150 million would not incorporate anything at LiveWire. That would just be the motor company and HDFS. And in terms of cadence, you know, we would expect to realize some of those savings, you know, beginning in the back half of this year. We've not incorporated any restructuring charge in the guidance. So that would, you know, complement that. But we've been clear in saying we expect those savings to be realized on an annual basis starting in 2027.
Tristan Thomas: Great. Thank you.
Operator: Your next question comes from James Hardiman with Citi.
James Hardiman: So, any help you could give us sort of bridging what I think is about 4% to 8% wholesale growth if I sort of use the wholesale guide to where you ultimately land in terms of operating income still being, you know, a modest loss on the HDMC side. Obviously, there's some tariffs in there. Sounds like there's some deleverage as we think about sort production versus wholesale. And then I guess I'm also curious on the ASP side or the mix side. I think what I'm hearing is that even though inventories for the year will be flat, touring will be down. So you're gonna be undershipping touring. Just curious what impact that might have on ASP and or mix.
Jonathan Root: Thanks. Okay. Yeah. Great question. Thank you, James. Hope you're doing well. As we take a look at where we are, we certainly have a number of factors that come into play as we look at motor company operating income in '26 versus '25. So you're right. If you kind of look at where we land from a midpoint perspective, really, really close to flat. We have a number of factors that come into play. So we have a full year of tariff exposure. So that adds about a $25 million headwind year over year. Again, going back to the tariff update page that we included within the deck, you can see some of the details there. Obviously, as we complete our final year of getting disciplined back into the operating environment in terms of balancing out wholesale and production, that poses a little bit of a deleverage challenge. And then we certainly have some associated supply chain impacts that we're contemplating. As you talked about, we do have a broadly one-to-one relationship between retail and wholesale, which does have an offsetting positive. And then as we look, there's some non-motorcycle implications around P&A and A&L. So all in, as we look at where we are, if you do a midpoint comparison, just effectively sitting right on top and, obviously, an improved setup for out-year performance as we work through our final issues in '20.
James Hardiman: Got it.
Operator: Your next question comes from Brandon Rollé with Loop Capital.
Brandon Rollé: Good morning. Thank you for taking my question. I just had a question around the used versus new pricing spread. How do you feel about where that spread is right now? And obviously, with all this promotional activity, do you see that spread tightening as you kind of pull away the promotional activity, or is this something that the spread gonna keep expanding as maybe prices go higher? And it seems like people are digging in lower and lower, you know, into the used value. So for a deal. Just any comments there on the spread? Thank you.
Jonathan Root: Okay. Thanks, Brandon. I'll start with a couple of numbers, and then maybe Arthur can provide some perspective in addition. So I think from a couple of different factors that you speak about. So as we think about where we're sitting today from a Q1 standpoint, we were forthcoming in terms of the charge that we took in '25 in order to make sure that we were positioned to clear through touring in the way that Arthur has talked about. So relative to the factor on the new side, as we think about affordability, monthly payments, and impacts for consumers, we recognize that we're doing, we're putting some programs in market at the moment that are helping drive a reduction in the gap between new and used motorcycles. So we have some stimulus that we think is helping drive a really nice value equation for our customers. I think what's really exciting is that in addition to that, as we take a look at what we're seeing on used values, we have seen sort of stabilization of some nice improvement in used values and what we're seeing come through at both auction and retail on the used side. So I think that that dynamic is also helping us from an overall consumer standpoint. So a couple of nice factors that bring that together.
Arthur Starrs: And I think one of the insights we're seeing is that some of the parts of our portfolio that we've walked away from in recent years, the used values have jumped. So it's informing some of our product development work. So it's encouraging to see core equities that we've been known for a long time really responding quite well in the used market. And it's informing some of the innovation that you're gonna be seeing from us.
Brandon Rollé: Great. Thank you.
Operator: Your next question comes from Jaime Katz with Morningstar. Jaime, your line is open.
Jaime Katz: Hi. Sorry. I'm hoping that you guys can talk about maybe what you envision as the potential for the motor company operating margin beyond '26. Like, do we go back to a high single-digit rate? Do you guys see more opportunity to expand margin, if maybe we can get some volume improvement to take hold and just sort of what you see as the potential for that segment over time?
Arthur Starrs: Yeah. Jaime, that's a great question and something we're gonna clearly call out in our May, you know, investor meeting and strategy discussion and earnings. So if you, you know, tune in then, I'll give you more detail. Obviously, we don't think the current results reflect the full potential of the company. So a lot of upside and look forward to updating you in May.
Jaime Katz: Okay. And then do you have a target for leverage metrics at the 2026 given that you're still paying down some debt?
Jonathan Root: Yeah. I think, you know, everything from an overall capital perspective, as Arthur talked about in our Q1 earnings call that we do in May, we'll make sure that we walk through strategy, overall capital allocation, our approach to the way that we're running the business on leverage for HDMC as well as HDFS, and then what we look at on a go-forward basis. We will be sure that we cover all of that then.
Jaime Katz: Yes. So no target yet. But you.
Arthur Starrs: No target. The one thing I'd just remind is the €700 million note that we're gonna be, you know, paying off. That's the one thing that we've called out.
Jonathan Root: Thank you.
Operator: There are no further questions at this time. This concludes today's conference call. Thank you all for joining. You may now disconnect.